Operator: Good morning, ladies and gentlemen, and welcome to the Meta Materials Inc. call to discuss Q1 Financial Year 2022 Results. My name is Mark Komonoski with Integrous Communications. Meta’s Investor Relation Advisor, and I will be introducing management on today's call. A replay of today's presentation will be available via the link provided in Meta’s press release announcing the webcast and on the IR calendar in the Investors section of the Meta website  Joining me on today's call are Mr. George Palikaras, PhD, Meta’s Founding President and CEO; and Mr. Ken Rice, Meta’s COO and CFO. On today's call, we will start with Ken Rice reviewing the Q1 financial year 2022 financial highlights and providing an update on the oil and gas assets. Then, George Palikaras will summarize Meta’s market opportunity, position in the value chain, expanding technology platform and global presence. George will provide some operational updates regarding Meta’s nano-optic security products business and expanding global facilities, a progress report on the first pilot scale roll-to-roll production line of NANOWEB at the company's Pleasanton, California facility. Review some details on the recent acquisition of Plasma App, which added proprietary plasma fusion vacuum coating to Meta’s broad technology platform. An update on Meta’s rapidly growing intellectual property portfolio, some recent key executive additions and an overview of Meta’s expanding sales, marketing and business development efforts.  Before we begin, forward-looking statements, I would like to intend remind you today, today's presentation may include forward-looking information or statements within the meaning of the Canadian Securities Laws and with the meaning of Section 27A of the Securities Act of 1933, as amended, Section 21E of the Securities Exchange Act of 1934, as amended, and the Private Securities Litigation Reform Act of 1995, regarding the company and its business, including its statements with respect to the business strategies, product development, expansion plans and operational activities of the company and the benefits to the company of further investment in product development, and manufacturing capacity. We caution you not to put undue reliance on these forward-looking statements, as they involve risk and uncertainties that can cause actual results to differ materially from those anticipated by these statements as described in our risk factors and a reported filed with the SEC. Any forward-looking statements made on this call reflect our analysis as of today only, we have no plans or duty to update them except as required by law. Yesterday we distributed a press release detailing the announcement of Q1 financial year 2022 results, which include a link to our Q1 2022 Letter to Shareholders, and we filed Meta's 10-Q for Q1 2022. For your convenience, a copy of the press release is available on our website, and a replay of today's webcast regarding this announcement will be available following the presentation in the Investor Relations section of our website. Unless otherwise stated, all dollar amounts referred to are in US dollars.  Now, I will pass the call to Ken Rice, Meta’s COO and CFO. Ken? 
Kenneth Rice: Thank you, Mark and good morning everyone. We appreciate your time and attention today. Now I’ll provide a few highlights of our Q1 2022 financial results. Meta is an early stage platform company, moving toward volume production for applications in multiple markets. In Q1 ’22, total revenue grew 399% year-over-year to approximately $3 million for the first quarter, compared to $600,000 in Q1 ’21.  Company relay’s on a few customers for a significant portion of its revenue. And nano-optic security business generates a majority of its revenue from development work for a G10 central bank. Development programs include the contract with the confidential G10 central bank and they account for most of our revenue, but we expect a growing contribution from product revenue over the next 12 months. Meta is pursuing multiyear multimillion dollar contracts with several OEMs. For the first quarter of ‘22, the net loss was approximately $18.4 million or $0.06 per share on $285 million outstanding shares.  Operating and other expenses for Q1 ‘22 included several non-cash items of approximately $4 million of stock-based compensation, $200,000 of non-cash consulting expenses and $1.7 million of depreciation and amortization, as well as $400,000 of non-cash lease and interest expense. Net cash used in operations for the first quarter, that totaled $18.8 million compared to $2.4 million for the same quarter of ’21. That included about $6.3 million used in operating assets and liabilities.  At the end of Q1 ’22, our cash and cash equivalents totaled $30.2 million, including 0.5 million in restricted cash. We have no debt, except for $3.3 million in various interest free loans from Atlantic Canada. Canadian -- the company believes that its existing cash is sufficient to meet its working capital and capital expenditure needs as production capacity begins to come online. The company may need to raise additional capital to expand commercialization of our products, fund our operations and fund our research and development activities.  Future capital requirements may vary materially from period to period and that will depend on many factors, including the timing and extent of spending on R&D, the capital expansion of our facilities in Halifax and California and the ongoing investments required to support the growth of our business. As George will describe later in the presentation, we received $2.2 million in additional orders under the development contract with our confidential central bank customer and other bookings in the first quarter continue to trend higher.  At the end of March, we provided an update on the special Series A preferred stock dividend. I'll review a few important points now. With the completion of work on four wells in the Orogrande property in late 2021, Meta believes that we are in compliance with all aspects of the lease obligation. The disposition of the oil and gas assets is now planned as a share exchange where the Series A shareholders will exchange their Series A shares for common stock in a separate company called Oil Co. Oil Co is the subsidiary that we created for this purpose, that will then be owned by the Series A preferred stockholders.  Complete the necessary regulatory filings, an audit of the oil and gas operations through the end of 2021 was required, and it's now complete. Number of required SEC filings must be finalized to complete the exchange. Upon completion of the exchange, Series A holders will exchange their Series A shares for Oil Co common stock. Cost incurred by Meta in 2021 and up to the spin-out associated with oil and gas operations will be carried by Oil Co [indiscernible] Meta. Oil Co is exploring options to secure additional short-term funding and financing. Financing may not be completed and repayment of debt may not occur. Investors should refer to additional risk factors in the company's SEC filings.  I will now pass the call to George Palikaras, Meta’s Founding President and CEO. 
George Palikaras: Thank you, Ken. Good morning, ladies and gentlemen. I'm delighted to be providing you another update today. It's been a very busy quarter. Although it has only been about seven weeks since we announced the Meta’s fiscal year 2021 results, there has been some very exciting developments since then.  I just wanted to give you a general update on what's happening around our market segments. At Meta, as you know, we are developing sustainable solutions to meet market opportunities driven by several megatrends trends. These megatrends continue to excite the world and create opportunities for both us and our partners. We are seeking to help address global supply chain challenges, which have a reason in the last several years. Fundamental Meta Materials are all about doing more with less.  Two of our largest market drivers that we see; number one is the 5G infrastructure initiative, which is more than $2 trillion being deployed right now across the world and vehicle electrification, which is growing at remarkable rates to be close to $1 trillion by 2028. 5G networks promise broadband speeds wirelessly, but required enormous investment to make this happen. This higher speed higher frequency signals have shorter ranges than prior generation, for example, 4G and 3G and they are easily blocked and absorbed by any object in the environment. Think of your glass windows, you're building materials, et cetera.  Now if you go inside the building, propagation there is a major problem for 5G. Meta’s award winning 5G reflector help address these issues with a sustainable solution and a big partnership with Sekisui Chemical that we have already announced. Vehicle electrification on the other side represents a major shift in transportation. The shift from conventional vehicles to electric vehicles will require not only huge capacity investments, not just to make the vehicles, but for every component and even down to the raw material supply chains to support them. So this creates concerns, not only that the existing supplies are heavily concentrated in Asia, but the fact that there is not enough materials around the world to support this work and this growth.  We are working on applications to make EVs safer to operate in all weather conditions, make them more efficient and to develop also battery components and materials that will help increase range and improve battery safety. Meat is a business-to-business company that focuses on supporting OEM suppliers with breakthrough innovations and solutions. There is a graph of where we fit in the supply chain. But there is something new. We operate and started operating in the middle of the value chain between the raw material suppliers and the final product assemblies.  Together with our OEM customers and strategic partners providing the interface to final consumer. Today Meta is becoming more vertically integrated, moving toward integrated products design and assembly, driven by the demand of our customers. If you look at this technology, we have number one, a design software AI driven solutions and testing platform, this is where we innovate quickly, we can design materials faster than anybody else. Then we have invented and acquired proprietary nano patterning technologies. We take our designs and print them at low cost at very large scales. And as I mentioned, we are moving towards integrated products design and assembly towards more vertical integration, all the way to becoming a trusted Tier 1 to our customers.  Our ARfusion technology platform, for example, integrates prescription lenses and foils with smart AR technology. We see opportunities that provide more value-added going beyond components to systems and devices. We recently added a new Head of Engineering to lead this effort, as I will explain in more detail later in this presentation.  So, why do I focus so much on the technology platform capability? As you can see, this is where I can kind of demonstrating the shift towards integration here. We continue to expand our technology platform capabilities to meet customer demand. Customers want a one-stop shop, supply chains are so diversified that create problems for end users. And when the supply chains are not optimal you create problems in quality, you create problems in cost. So having the ability to deliver more assembled products with more value is becoming a growth potential for our business.  Meta become with holographic technology focusing on our first product, which was laser glare protection for pilots. Last year alone we had a record for laser strikes in this market. Since then, we have added rolling mask lithography which enables large area low cost roll-to-roll production for nano materials with metals. We added key capabilities with the Nanotech acquisition, including Electron Beam Lithography with print down to a few nanometers of resolution, and Nanoimprint lithography for roll-to-roll large scale reproduction of this materials.  Wireless Sensing forms the foundation for several of our medical applications and development. Glucowise, for example, will be a complete system with associated hardware, software and services. Our other medical applications would follow a similar model. And finally on the precision integration ARfusion and PLASMAfusion provide us with unique proprietary manufacturing and integration capabilities. We expect to use all of these technologies in-house and to sell and licensed some systems to others.  I'll have a lot more to say about PLASMAfusion in a few minutes. Meta is expanding not only by people, by geographic presence. Meta is a truly global company today. With our various locations we are able to take advantage of proximity to potential customers and partners, drawn additional pools of talent and gain access to government funding to help support our R&D. Our two newest locations are good example. In Athens, we are able to access Greek and European government programs and add cost effective engineering talent. Athens has been announced the top five cities in Europe for 5G development.  In Maryland, where we will open a new office soon, we should enjoy proximity to key OEMs and government agencies. Here's an update on nano-optic security products. As you know, in October last year we closed the acquisition of Nanotech Security Corporation, a developer and manufacturer of secure and memorable nano-optic security features used for under counterfeiting for banknotes and government documents and to provide protection for brands. We gained access to Electron Beam Lithography and Nanoimprint lithography equipment, UV casting, roll-to-roll coating equipment, but more importantly, a team with decades of roll-to-roll production experience. Nanotech was a key contributor to the best revenue quarter yet. As Ken will detail or has already detailed earlier in his presentation.  On the top right of the slide, you will see an image. This is our color optic stripe. It's a new technology, it has been featured on the annual banknote technology report number eight. Color optic is a patented visual technology that is exclusive to the government and banknote markets, it combines sub wavelengths nano structures and micro structures which we call Meta Materials to create modern overt security features with a unique and customizable optical effect. When we introduced this, color optics stripe will be the latest in the line of plasmonic technology products following the M2 and the color depth and is expected to be one of the highest volume applications in the history of optical Meta Materials Industry.  I'm personally excited because what you see here on this strip is 50-K resolution. If you think of a TV monitor or TV at your home, which is 4K, 8K, this is 50K. It means 50,000 dots per-inch, which translates 2.5 billion nano structures. Let me underline this last point, we take nano optic security products, deliver kilo meters of this product with extremely high resolution and nanometer accuracy at the cost point that enables us to penetrate at $2 billion market.  One thing that I'm excited about this is, it's a very sticky business, typically contracts last between five and seven years and just before the acquisition closed Nanotech renewed this frame agreement with a confidential G10 central Bank for up to almost $42 million in development over a period of up to five years. This was the largest contract in our knowledge in history of banknote security.  We started in fiscal year 2022 with a $7 million in purchase orders under the frame agreement, we received $2.2 million in new orders in April, including a $1.2 million for sample products, bringing the fiscal year ‘22 orders to $9.2 million. If we are successful in winning a production contract with the Central Bank customers, which we are confident we will, we should then have the opportunity to compete on security features for additional denominations for that customer and we should be in a position to attract additional business opportunities with other leading central banks.  So here's a little update on our factory and our production. What you see here on top of the photo is the top view of our Thurso manufacturing facility in Quebec. We invested $66.1 million in the Nanotech acquisition, net of cash acquired to accelerate and derisk our Meta manufacturing scale up. We added approximately 8,000 square foot of R&D facility in Burnaby in BC and we now own this lovely 105,000 square foot production facility on 11 acres of land in Thurso, Quebec, which is right outside of Ottawa.  Approximately 35,000 square foot of this facility are currently being used for production, with the rest configured as a warehouse. We are expanding not only the production space, we are preparing for doubling our nano optic security production capacity to 15 million meter square per year. And we are also reserving space for our next generation NANOWEB, which is 500 millimeters roll-to-roll line web with plan for 2023. In this picture you can see the sections marked P1 and P2, where we are expanding production space. And as you can see there is plenty of room to expand further.  Finally, a key point to make about our Thurso facility is that, our production is powered by Hydro-Quebec, giving us a sustainable source of low cost clean 99% renewable energy. Expanding production in Thurso therefore not only having the room to grow but also to grow sustainably becomes part of our growth strategy.  Another update I would like to share is, what's happening in Halifax with our, especially ARfusion lens casting line. In February 2021, we acquired the assets and IP of a Swiss lens manufacturer, Interglass, forming the foundation of our ARfusion platform technology for smart augmented reality eyewear with prescription lenses. We have moved all the equipment to our Halifax facility and we have been running, calibrating and refining our process and materials in partnership with Covestro.  In picture here you can see two complete automated lens casting lines. Our in-house capabilities encompass hologram recording the foils that are coming through the raw materials through Covestro, the stack assembly, the film forming, the lens casting, the methodology and the final basically ship to customers. In January 202, we joined the Laser Scanning for Augmented Reality or otherwise called LaSAR alliance. As a member of the program, which is the Institute of Electrical and Electronics Engineering is industry standards and technology organization. The IEEE is the world's largest technical professional organization dedicated to advancing technology for the benefit of humanity.  To be successful in this industry we believe that any AR eyewear solution must deliver two things: Number one, a thin lightweight display with a wide field of view that is comfortable and fashionable, so you don't kind of look like a robot. And integrated prescription lenses which more than half of the adult population right now requires. We believe that Meta is one of the very few companies who can deliver both of this in a one-stop shop solution for the AR eyewear OEMs.  The ARfusion process is highly sustainable using less energy and less materials than conventional lens casting and grinding. We are able to embed a number of smart technologies into the prescription lens, including optical combiners, which would be the display, waveguides, which will also be with a display, eye tracking sensors, which reduced the computational power for these eyewear. Active layers based on our NANOWEB transparent conductor film, think of 5G antenna on the lenses, think of defogging on the lenses, think of electrochromic changing basically the darkness level of the lenses.  I spoke a little bit about NANOWEB, let's go into a little bit more detail here of what's happening. Last quarter we announced a very important milestone, we installed a first of a kind roll-to-roll line to produce NANOWEB transparent conductor films at our facility in Pleasanton, California. We installed it with a two week delay based on our schedule, which was, I think a record considering what happened last year with supply chains. And I just want to say publicly thank you to our CTO, Jonathan Waldern for delivering on that promise.  Scaling up Meta’s proprietary rolling mask lithography, we call it RML for short, process from a wafer scale substrates to 300 millimeter web width enables much higher volumes and it greatly reduced our cost per square meter, supporting large area applications for a wide range of end-markets. The NANOWEB line comprises the same process steps which have been proven on the wafer scale line, where we have been producing development samples for customers for quite some time.  Since installing the roll-to-roll equipment we have been optimizing the line, we are focused on key test right now and comparing the performance of the materials produced on the roll-to-roll substrates against the golden samples that we have from the wafer line. I'm very pleased to report that the first roll-to-roll sample of 5G reflector film demonstrated performance, which was within 1% of our wafer based golden samples. We already understand the minor artifacts which account for the 1% variance and we expect to achieve roll-to-roll golden samples soon.  Recently, Sekisui Chemical has published results from indoor propagation management's using our 5G reflector film. And we expect increased sample shipments to them in the second half of this year. In addition to 5G reflectors, another key application for NANOWEB is EMI shielding. We have recently completed internal demonstration and testing of a transparent microwave oven door which provides equal or superior EMI shielding, while allowing a perfectly clear view inside the oven while the food is cooking. As you can see here the photo in the bottom, we have chosen a retro style, this was also an exciting achievement.  We are presently building a number of these demonstrator units and we will provide them to prospective OEM customers for their own independent demonstrations and testing and I personally look forward to the day where every single location in our Meta growing geographies will have one or more of these Meta microwave ovens. I mentioned this already, but I can't overstate the importance of scaling up NANOWEB to higher volume and larger areas. This will support the additional customers and enable new applications as the cost per square meters decline.  For example, another key application for NANOWEB, which we have a lot of interest from several OEMs is the icing and defogging for electric vehicles and the ADAS, the Advanced Driver Assistance Systems, like a camera sensors and LIDAR like devices. Success here will require routine production of high-volume low-cost NANOWEB products.  In April, we announced the acquisition of UK-based Plasma App Limited, the developer of PLASMAfusion, a first of the kind proprietary manufacturing platform technology which enables high speed coating of any solid material on any type of substrate. Our team is located in the Rutherford Appleton Laboratories in Oxford UK. The gentlemen you see in the picture above is the founder Dr. [Dmitry Emeliyanov] (ph) and he has joined Meta as the Vice President and Managing Director for plasma technology. In 2014 he developed the first working prototype in just six months working alone. The acquisition of Plasma App contributed to nine issued patents and one new patent family to our IP portfolio.  We expect to apply PLASMAfusion to the metalization step in our roll-to-roll production process for NANOWEB films as well as color optic security films. This is expected to significantly accelerate line speed and increase annual capacity. Large scale and efficient metalization is a critical step for volume production of NANOWEB, and many other high-volume potential applicants such as battery materials, requiring hundreds of millions of square meters per year.  Large scale metalization is expected to leverage capital equipment investment and substantially reduce cost per square meter of output. PLASMAfusion uniquely combines the benefits of sputtering and evaporation, while using zero volatile organic compounds, chemistries. Our technology works in a more sustainable, customizable and efficient way, by producing new materials in vacuum at low substrate temperatures with higher adhesion. We intend to continue to industrialize and scale up PLASMAfusion, including applications for our high-volume factory in Thurso, Quebec. Additionally, PLASMAfusion will be available for licensing and co-development for strategic partners. I have a little short video, which is a good demonstration of how this amazing technology works.  What you see here in this 10 seconds, it has coated 100 nanometers of stainless steel into an ordinary golf ball. Metal golf balls may not sound very practical, but the point is the ability to coat metals on plastic substrates. PLASMAfusion is even able to coat copper on Teflon, making it adhere to a non-stick surface. So looking a little bit further on how this works. PLASMAfusion operates in a vacuum chamber. What you see here, there is concentrated energy coming from an electron beam that creates a plasma. When the plasma strikes the target material it creates small amounts that are ablated and the material moves across the chamber towards the subset at very high speed, 10,000 meters per second.  The materials here at the beginning yet to become evaporated at 1 million kelvin degrees. By the time the [indiscernible] reaches the substrate it's cool enough to be safe for plastics. At the same time it is moving with enough speed and force to penetrate into and bond with the surface. So this is not just a simple coating technology, it impregnated basically the materials and creates and fuses materials together. The process is controlled by computers, repeatedly pulsing and depositing more or less material at controlled basis.  So to summarize, PLASMAfusion is a unique patented technology platform tool. We expect it will improve our internal processes for NANOWEB and nono-optic security products, but also open numerous new markets and opportunities. A key support for Mata’s technology platform and our future competitiveness is our IP portfolio. In the Q4 and fiscal year ‘21 report we have reached yet another major milestone with 302 active utility and design patent documents compared to 269 on March 1. We now have 175 issued patents, including one design patent compared to 163 issued patents last quarter. This include 38 issued US patents, 137 issued patents in 24 other countries. Patent families have increased to 81 versus 74, of which 48 include at least 1 issued patents.  Let's talk a little bit about the team and the future. Meta is a platform technology company with a growing range of opportunities in multiple market vertical and in order to capture Meta’s full growth potential we are building a world-class organization, recruiting top executives who bring decades of experience from larger successful organizations.  In April, we added two senior executives in addition to Dmitry, the founder of Plasma App and created new positions. George Francis joined Meta as our Chief Information Officer. He brings over 25 years of experience in a range of different industries, including manufacturing, retail, distribution services and software as a service. Mr. Francis is leading the design of Meta’s IP architecture systems and cyber security. He will ensure that our systems support all of our regulatory and compliance needs and another opportunity is the potential to monetize the data generated by our emerging products, especially in the medical field and in the imaging field. We are confident that George Francis will support our growth as a global organization. In his last position he managed a team of 120 personnel, integrated multiple acquisitions and implemented IT solutions, best practices for data and asset protection and regulatory compliance.  On the right you see Dr. John Yiannis Antoniades. He joined Meta as our EVP and Head of Engineering, Electro-Optical and Infrared Systems I believe that Meta is very good at developing breakthrough new applications in the lab, together with leading OEMs. We have been doing this for several years. Now we are at this inflection point as we begin to commercialize multiple applications in different end markets. As the new Head of Engineering, Yiannis brings over 35 years of experience in advanced systems, hardware, software, AI and other type of advanced technology development systems. Yiannis has been a leader in the academic, government and private sector. He is building and leading a team to drive Product Engineering and vertical integration of all technology portfolio.  In addition, we are adding a new strategic office location in Maryland, which will provide us proximity to targeted verticals in aerospace and defense, government and another pool of skilled personnel.  So to conclude, in addition to the key executives that I just mentioned, we are also expanding on our marketing and sales team and our business development efforts. As you can see, Q1 has been very busy and Q2 continues to keep us very busy with a lot of trade shows, conferences, where we are participating, meeting customers, demonstrating and also speaking about the benefits of our technology at the global audiences and international events.  So now, let me summarize where we are and where we're going. Number one, we have assembled and continue to grow a team of multinational subject matter expert. Number two, our intellectual property portfolio is rapidly expanding and should provide a durable competitive advantage. Number three, we are developing breakthrough applications for multiple end markets, driven by megatrends. Number four, we are scaling manufacturing with a first of a kind large area Meta Materials production. Number five, we are and we will continue to expand capacity and lower our cost as we integrate PLASMAfusion technology. And last but not least, our platform keeps growing, becoming broader and more vertically integrated.  Thank you very much for your time and attention this morning. I will now pass the call back to Mark Komonoski. 
Mark Komonoski: Thank you, George. Thank you everyone for joining us today. We appreciate your interest in Meta. If you have any questions, you can reach us by email at ir@metamaterial.com. This concludes today's presentation.